Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Blucora, Inc. Fourth Quarter 2019 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Bill Michalek, Vice President of Investor Relations. Thank you. Please go ahead, sir.
Bill Michalek: Thank you and welcome everyone to Blucora's fourth quarter 2019 earnings conference call. By now you should have had the opportunity to review a copy of our earnings release and supplemental information. If you have not yet reviewed these documents, they are available on the Investor Relations section of our website at blucora.com. I am joined today by Chris Walters, Chief Executive Officer; and Todd Mackay, our Chief Business Operations and Development Officer. Before we begin, let me remind everyone that today's discussion contains forward-looking statements based on the environment as we currently see it and speak only as of the current date. As such, they include risks and uncertainties and actual results and events could differ materially from our current expectations. Please refer to our press release and other SEC filings including our Forms 10-K, 10-Q, and other reports, for more information on the specific risk factors. We assume no obligation to update our forward-looking statements. We will discuss both GAAP and non-GAAP financial measures today, and the earnings release available on blucora.com includes a full GAAP and non-GAAP reconciliations. With that, let me hand over to Chris.
Chris Walters: Thanks, Bill, and good morning everyone. I'm excited to be speaking with all of you for the first time in my capacity as CEO of Blucora. I've had the pleasure of serving on Blucora's Board of Directors since 2014. And from that seat have played an active role in developing our current strategy, including driving our tax centric vision, and championing our acquisitions of HD Vest, 1st Global, and HKFS. I have also had the benefit of great insight into the business, its successes, growth opportunities, challenges, and how Blucora has been able to position itself for the future. It's exactly for these reasons that I was so interested to expand my role with the company and take the CEO position. I believe Blucora has the potential to accelerate organic growth with the cash engine that can be a great enabler. I'm also genuinely excited about the purpose of the company, including maximizing value for consumers and enabling them to live better financial lives. In short, I couldn't be more pleased to transition to CEO and spearhead the next phase of our growth and work with all of you. We have a lot to cover today, including fourth quarter results that were in line or better than our target ranges on all metrics, record annual performance for both TaxAct and Avantax and an update on tax season. So let's dive right in. Starting first with Wealth Management. Fourth quarter Wealth Management revenue was $145.2 million and segment income was $19 million, both of which were at or above the mid-point of our target ranges. On a consolidated basis, net flows into total client assets were about $180 million and we ended the quarter with $70.6 billion in total client assets. Net inflows into advisory assets in the fourth quarter were about $200 million and we ended the quarter with $27.6 billion in advisory assets. Advisory assets as a portion of total client assets ended the quarter at 39%. A few updates I will call out here for Wealth Management. During the quarter, we completed the final business combination of our backend processing and support functions in wealth management following the 1st Global acquisition, which will allow us to operate even more efficiently. We enhanced our advisor service structure with regional teams leveraging in area where 1st Global had great success to provide segmented groups of advisors with enhanced service and operational support through small dedicated teams. We also rolled out a robust action plan to enhance our operations and service metrics to improve the advisor experience. The team has been successfully executing on the deadline to achieve results that will continue to integrate platforms and streamline functionality. The initiative has been well received by advisors. We began cross-selling some of the more popular products between the Legacy HD Vest and 1st Global advisor business including select home office advisory solutions and a retirement planning offering, with more products to come in Q1, all to the benefit of clients. Recruiting continues to be strong with more than 60 new advisors joining in Q4, including new tax pro advisors, as well as established advisor transfers. We also added another high value accounting firm in the quarter with approximately $10 million in cumulative accounting revenue and representing an estimated $1 billion prospecting opportunity in total client assets. As it relates to a proprietary Tax Smart Investing platform or TSI, which is designed to help advisors systematically identify and capture tax alpha for clients across multiple accounts, we have a few very positive updates. First, we ended the year with about 900 advisors on the platform, significantly exceeding our goal of 500 and we began to roll-out our Legacy 1st Global advisor base adding about 100 advisors there. Overall feedback from advisors and end-clients continues to be very good. Second, we officially launched our second module, the Capital Gains Analyzer, which captures and reports the annual capital gains estimates of mutual funds. This module allows our advisors to focus more on planning and client outcomes as opposed to data gathering. We also launched Version 2.0 of the Tax-Loss Harvester, which can identify losses to offset those gains for clients in a fraction of the time. The new version streamlines reporting and adds incremental lot level detail and other data for deeper client conversations. The last update on TSI is that we just launched this month, a beta test of our third TSI module, the Social Security Planning. This module helps clients optimize their social security benefits based on their specific cash flow needs and maximizes relative benefits for each partner in a couple. Early feedback on this module is quite positive. The other big news in the broader Wealth Management arena recently was our announcement in early January of our intent to acquire HK Financial Services. This pending transaction reinforces our strategy of delivering tax advantaged wealth management solutions to advisors, CPA firms, and end-clients. The combination with HKFS is expected to add approximately $4.5 billion to Blucora's total client assets, bringing the total based on year-end numbers to more than $75 billion. By comparison, we ended 2018 with just over $42 billion. So that would represent almost 80% growth in total client assets in about one year. The complementary nature of the transaction is expected to expand Blucora's addressable market, add growth and profit engine, and enhance and expand available growth opportunities, ultimately further strengthening the company's established leadership in tax aware investing. Most importantly, it enables us to serve CPA firms the way they want to be served either in our independent model with CPAs becoming Wealth Management advisors, or a turnkey RIA for CPA firms who prefer to essentially outsource the wealth management work to a firm they trust, while ensuring close coordination. As we enhance our offering to CPA firms, and give them more optionality, it will increase the performance of recruiting efforts. As a reminder, HK Financial Services will be run as a third division of Blucora with very little integration and no overlap, eliminating risk of disruption to the Avantax advisors. We continue to expect the transaction to close around the end of the first quarter subject to customary closing conditions. For the company as a whole, we look back at the full-year 2019, the team has really accomplished a great deal including growing total revenue by 28%, including the addition of 1st Global starting from the May acquisition date, growing adjusted EBITDA by 15%, growing non-GAAP earnings by 11%, and crossing the $2 mark at $2.11 diluted net income per share, generating more than $80 million in free cash flow, improving Wealth Management revenue by 36%, achieving record net flows including approximately $1 billion into advisory, acquiring 1st Global which added significant scale complementary capabilities and high recurring revenue, achieving $6.5 million in synergies related to 1st Global which is more than double our original estimate at the time of acquisition, achieving our 22nd consecutive year of revenue growth at TaxAct while growing 12% and maintaining stability in our monetized units, implementing a share repurchase program following a $100 million authorization. And last but not least, bringing great new talent into the organization. In 2019, we generated strong financial results while investing for the future, strengthening our platform and laying the groundwork to capture the significant opportunities we see ahead. While we've made good progress, I'm even more excited about where we'll go from here. So let's move to tax preparation and our updates on the current season. As you may be aware, total IRS filings are roughly flat year-over-year and DDIY filings are up about 3.5% as of February 8. Competitive intensity continues to be high with the volumetric leaders spending aggressively on marketing, with a messaging focused around their free offering, and the storefront players focusing on both free and hybrid assisted offerings. Against this backdrop, we came into this year with a goal of building on the success of last season, targeting to achieve more balanced growth across units and pricing. To do so, we made several significant improvements particularly in our user experience, which I'm excited about and we'll discuss in more detail in a moment. As you all know, every tax season is unique, and this one is no different. So far this season, we're excited about a lot of the progress we are making but at the same time, we do have opportunities to optimize in certain areas as we move forward through the season. So let's touch on the areas we're excited about as well as the areas we want to optimize a bit further. In the last couple of calls, we've discussed the need to improve our customer experience. And to do so we have continued to invest both in updating our legacy code as well as reimagining the user experience. I'm happy to share that we started to see the fruits of our labor. For example, our conversion for complete rate is up five points versus this time last year, which is a good indicator that the offseason improvements we made in the product and underlying engine were the right ones and having desired result. Also, our retention for returning customer rates are also running ahead of last year by four points. As well as those bright spots, we have also faced challenges. And this is still a very competitive market, especially around the free product where today, we don't enjoy the advantage we have versus the volumetric leaders that we do with our higher end skews in terms of pricing. The price to acquire a free customer is significantly up. We continue to optimize in this space to find the right balance of cost and profitable growth. Along with pressure with the free product, we were also a bit out of position to start the season from a marketing perspective, with our messaging initially not focused on what was resonating with early season filers, resulting in a top of funnel that has been below expectations albeit improving. At this relatively early point in the season, as is been the case, at this point in time in previous seasons, our performance lags the overall market, which starts down about 20% through February 16 and e-files down 11%. A couple of things I would note here. One, we delayed our ramp in marketing spend somewhat compared to last year; two, our business tends to make up ground in the second peak of tax season given our focus on paying filers who disproportionately file later in the season. We see opportunities to improve our approach and top of funnel performance in the second peak. This is an area where I have significant experience and I'm working closely with team to ensure that we're in the best possible position for the remainder of the season. All factors considered we remain comfortable with our prior outlook for the first half of 2020, which includes segment margin in the range of 56.7% to 57.7% on revenue growth of 3% to 5% versus the comparable prior-year period as adjusted for SimpleTax. Switching back to our product experience, during the offseason, the number one focus of our teams has been improving the client experience. The team spent countless hours scouring over every page and every word on the customer journey, making it much easier and more enjoyable, while removing friction points per filers at every level of complexity. We believe this is reflected in a significantly improved customer experience this season, which we hope will continue to drive increases in conversion in season with less leakage in the customer funnel, as well as better attention in subsequent seasons. We've also launched new and improved branded features, which we believe will have a strong appeal and differentiation. These include My Tax Plan. This new feature creates a custom plan for TaxAct filers to save more on taxes next year. Our technology personalizes each plan for the customers' unique tax situation, provides specific savings amounts, and includes a downloadable checklist of actions to save. We believe this feature will be a real and differentiated benefit for customers and help bring them back next year. Pro Tips is a visually enticing way to reveal lesser known tax advantages, customized for the individual filer that helped the customer get a bigger refund this year and for years to come. This feature has expanded and greatly enhanced for this season. We also brought back some of our more popular features, like an enhanced personalized Deduction Maximizer, which helps customers uncover additional deductions in our experience, are commonly overlooked, as well as our $100,000 accuracy guarantee. We believe we're the only tax online tax software company that offers this level of personalized insight and guidance into the financial health of our customers. This delivers significant value to our customers who can save real money now and for years to come. One last update here is our assisted offering, where tax gurus offer live Tax Help. As you may recall, we piloted this offering last year and are expanding our testing this season. Our goal is to exit this season with a fully vetted plan to launch a more fulsome offering profitably and at scale next season, should our testing prove a viable economic model. Overall, we've made great strides in improving our product positioning and capabilities in this business. Curtis has done a great job in his first full offseason at the helm, and the product is significantly improved, and already showing results with higher conversion rates. I see a great deal of opportunity for the business over the medium to long-term and that's perhaps one of the things that have been most exciting to me in terms of my initial observations. The product improvements will drive higher retention rates going forward, and when combined with improved marketing efforts, will be in a stronger position to grow units in the coming years. In conclusion, across the full business, we had a solid fourth quarter, which capped a strong 2019 for Blucora with record performance in a number of categories. The company had made good progress positioning itself for future growth. And our expectations for the tax season remain in line with our previous estimates. While I'm only in week number three of my tenure as CEO and I'm still learning and assessing in my initial observation, I already see a number of ways we could optimize just for higher organic growth rates. With that, let me turn it over to Todd.
Todd Mackay: Thanks, Chris, and good morning everyone. It's good to be here today. I'll provide some additional detail on our fourth quarter results and add color on our outlook for Q1 and the tax season. For the fourth quarter, we reported total revenue of $149.4 million, which was a bit above the mid-point of our guidance, adjusted EBITDA loss of $733,000 which exceeded the top-end of our target. Non-GAAP net loss of $4.8 million or $0.10 per share both better than the top-end of the range, and GAAP net income of $17.3 million or $0.36 per share, which surpassed expectations based on better operational results as well as a $49 million tax benefit resulting from the release of valuation allowances associated with our NOLs and our ability to utilize them in future periods. In terms of segment performance and beginning with Wealth Management, revenue was $145.2 million and segment income was $19.1 million both of which were at or above the mid-point of our target ranges. Segment income included a $540,000 legal settlement that was not contemplated in our guidance On a pro forma basis for the 1st Global acquisition, Wealth Management revenue was up 2% year-over-year driven by advisory and transaction revenue which were up 4% and 13% respectively and more than offset the decline in mutual fund revenue share and sweep revenue and fees driven by interest rates. Net inflows into advisory assets in the fourth quarter were about $200 million and we ended the quarter with $27.6 billion in advisory assets. Net flows into total client assets were approximately $180 million and we crossed the $70 billion threshold for the first time, ending the fourth quarter with $70.6 billion. Advisory assets as a proportion of total client's assets ended the quarter at 39.1%, also a new record. Moving on to the Tax Prep segment, TaxAct revenues for the fourth quarter was $4.2 million, up 4% versus the prior-year. Segment loss was $12.3 million up by about $3.6 million versus the prior-year driven by the product development investment work that we discussed over the past couple of quarters. Finishing up on the fourth quarter performance unallocated corporate operating expenses were $7.6 million, which is lighter than we expected as we were able to find efficiencies and defer some planned spend. Moving on now to liquidity, we ended the quarter with cash and cash equivalents of $80.8 million and our net debt was $318.9 million, resulting in a net leverage ratio of 2.3 times at the end of December. During the quarter, we repurchased approximately 744,000 shares at an average price of $21.05 per share for a total of about $15.7 million in repurchases and representing about 1.5% of our shares outstanding. We have about $72 million remaining under our current share repurchase authorization, which will allow us to continue to be opportunistic in the future as we deem appropriate. Finally, as it relates to the acquisition and integration costs in the fourth quarter, we recorded $8 million of which about 60% was related to 1st Global integration and the remainder related to costs associated with the HKFS acquisition. For the first quarter, we expect TaxAct revenues to be between $131 million to $136.5 million, or approximately 64% of the first half 2020 revenue and segment income of $77 million to $80.5 million. We expect Avantax first quarter revenue to be between $140 million and $145 million and segment income of $16.5 million to $18.5 million. On a consolidated basis, we expect first quarter revenue to be between $271 million and $281.5 million, adjusted EBITDA between $85 million and $91 million, non-GAAP net income of $74.5 million to $80.5 million or $1.52 to $1.64 per diluted share, and GAAP income attributable to Blucora of $31.5 million to $34.5 million, or $0.64 to $0.70 per diluted share. This includes unallocated corporate operating expenses between $8 million and $8.5 million. As we've done in the past, we expect to provide a full-year outlook during our first quarter call upon the completion of the tax season. There are a couple of items I'll mention now that may be helpful as you look ahead for modeling purposes. Regarding NOLs, in 2019, we utilized approximately $70 million in NOL leaving a growth or pre-tax balance of $392 million. Given that we have released a large portion of valuation allowances associated with our NOLs at once, rather than quarterly offsets that we have shown historically, we will show higher GAAP tax rate in 2020 estimated at approximately 30%. In terms of non-recurring items, we expect approximately $13 million of remaining integration costs relating to 1st Global which should close out our integration expense related to that transaction, and keep us on our originally targeted budget. We also expect to close our acquisition of HK Financial Services by the end of Q1 or shortly thereafter, subject to satisfaction of customary closing conditions. We estimate that approximately $8 million, of the planned $10 million to $11 million of integration costs, to hit in 2020, as well as transaction costs. In Q1 we also expect to record about $6.5 million related to our senior management transitions. This concludes our prepared remarks. We will now turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions]. And our first question comes from the line of Chris Shutler from William Blair. Your line is now open.
Chris Shutler: Hey guys, good morning. First I want to touch on the tax season, so on the decline in starts in e-files so far, can you give us a sense what those metrics look like for I guess the free versus the premium priced units and how much of an impact the reduction or elimination of basics played into that?
Todd Mackay: Yes, so this is Todd. We don't break out the metrics of free versus premium as consistent with our past practices. As you know, in the past, we've been pushing for stable or growth in monetized units and we will continue to do that as well as stabilization and growth in the units as a whole.
Chris Shutler: Okay. And I guess the other one on taxes, just given all the testing that you had done ahead of tax season obviously good to see conversion and retention rates improved significantly, but because basing your assessment, Chris, like why do you think that the company was out of position early in tax season?
Chris Walters: There are a few things around messaging and actually I break it apart into product and marketing. I think we are exactly where we wanted to be from a product perspective. As I noted Curtis has done a remarkable job and literally every drop-off point where we could see consumers departing, we have seen improvements in the core metrics. And so ultimately, that will lead to higher conversion rates for everybody that makes it to us and likely higher retention rates year-over-year. So I'm really happy, on that dimension. In terms of the marketing side, we were out of position as described and some of it was on messaging early in the season. Free is an important element of messaging and part of that is free filers are more inclined to engage early. We don't have as unique a value proposition there relative to other players. However, it still is important to play into free early on in the season. So the second thing is we needed to be experimenting with a broader array. So unlike product where you can test extensively before you can test messaging and marketing a bit earlier but you don't really get into channel performance level detail until you're in season and you can see how you're performing relative to competition. And so we had fewer things in flight to test and then scale than we'd ideally want. And so part of what I've been doing since I've jumped in is working with a team to broaden the number of tactics that we want and ultimately will be able to allocate for those that are performing best in the last six or eight weeks in the season.
Chris Shutler: Okay, got it. And then switching over to the wealth business. So one or two questions there. So can you give us the advisory flows of plus $200 million, can you give us the total net flows for the quarter, including the brokerage and you maybe just address the continued decline in the advisor headcount? I don't know if you could give like a production retention type of metric or at least give us some sense of what's going on from a retention perspective?
Todd Mackay: Yes, sure. So the total net flows were $180 million. And so we saw a greater portion flow into advisory which is where we want the business to be moving. And in fact, we have our record levels now in our advisory assets at over 39% of our total AUA being in advisory or fee-based accounts, which is the trend line that that we want to continue to see. On the asset movement out and advisor headcount side, the attrition in the fourth quarter obviously, it's seasonally in line with what we've seen in the past in terms of higher attrition going toward the end of the year. And we did have a couple of [indiscernible] attritions, but overall in line and ahead of what we mapped out, when we did the 1st Global or 1st Global transaction, we're ahead of expectations internally there.
Chris Shutler: Any sense Todd or Chris when we should expect the headcount or if we should expect the headcount to stabilize if we certainly recognize the kinds of the revenue retention or inflows are a lot more important than headcount necessarily. But any thoughts on stabilization of headcounts just from a -- I think an OpEx standpoint would be helpful?
Todd Mackay: Yes. We don't usually forecast advisor headcount. And the reason being that our model obviously is a little bit different than others in the market with newly licensed folks coming on board, we know that many of those will become successful in growing advisors. But many of those also churn out over time as it becomes apparent that that's not the right practice for them. So there's always flows in and out from a recruiting arm and from the newly licensed advisors. Important to note that those guys aren't producing advisors usually at that point anyway and so the measures that we look at internally and don't necessarily report on but are the average production per advisor over time, and we're comfortable with those numbers.
Operator: Thank you. Our next question comes from the line of Dan Kurnos from Benchmark Company. Your line is now open.
Dan Kurnos: Great, thanks. Good morning. Chris since you guys bought TaxAct back in 2012 I don't think I've ever heard the company say they've been well-positioned from a marketing perspective going into the tax season. And so I don't know that this is any different. I just curious because it's kind of part of the prior thought process was to get a more data driven approach and possibly push different marketing channels, I think you alluded to some of that. So I'm just kind of curious about maybe how you're reallocating or shifting your spend and kind of what you're putting in place going forward to be maybe less reactionary understanding that you made a very fair point that the value prop is a lot less compelling and free than it is when you get into the paid funnel?
Chris Walters: So I think our team had made some strides in terms of the more data driven and experiment in the new channels. I'd say there was a heavy shift prior to my arrival to almost exclusively kind of bottom of the funnel, digital tactics. As you can see, some of our competitors are doing a lot more top of the funnel. So you're probably all seeing an extraordinary number of television ads and sponsorships. And what it requires is the right set of tools and analytics to understand the impact of those other channels. And so I think we're going to broaden out a bit and be working more with kind of some of the traditional mass channels and implementing tools that will allow us to understand the impact of those and a broader array of digital tactics. So there are a variety of marketing models even in terms of how you pay back to your marketing partners. And so we're looking at a broader set of tactics and alternative models in terms of how we engage marketing partners and applying a new set of tools that will help us better understand and optimize within season. That will have the most pronounced impact in the coming year. So we won't be having the same conversation next year about being out a position at the start of the season. This is an area where we can make great strides comparable to the strides that we've made in product.
Dan Kurnos: Got it. That's helpful. And then just as you know look as you did mention, just on the free competition, and obviously with the change in the IRS ruling, these guys now have to show free on search and given what you just said, do you think you can still kind of accomplish the priming of the funnel the way that you want to this year from a free perspective?
Chris Walters: I think we will not be as focused on free for the remainder of the season. As I said, it's important early in the season, but we have to get the right message out to a very large number of consumers to ultimately have them be aware and engaged in our product as was described earlier, the wonderful thing is the return associated with our marketing spend will be higher for this year and going forward based on some of the product advancements that we've made and all the metrics that we see. And so we won't be as focused on free for the remainder of the season, we will be focused on ensuring that we're testing and ultimately leveraging the channels and tactics that are driving the highest return.
Dan Kurnos: Got it. And then to that point, and this is probably a bit of an unfair question, but last year to sort of make-up for the pressure free, we saw some pretty aggressive pricing from the competition. I don't know if you have a view on sort of timing or when that uplift begins since we're so early in the tax season process, but you still have a relatively healthy pricing delta, I just trying to get a sense of how much of a lever you think you have their versus just simply going after paid unit growth?
Chris Walters: So we always look at price that's something throughout the season that we're contemplating what refinements we should take in season and when this year isn't any different. And so we're looking at that now, we do have room based on where we are if we want to push price and ultimately, it's going to directly tie to the effectiveness of our marketing activities. And based on where we get to and where we see opportunity, we will pick price selectively.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Will Cuddy from JPMorgan. Your line is now open.
Will Cuddy: Good morning. So Chris, you're on the Blucora board going back to the decision to acquire HD Vest and divest the legacy internet businesses, it will be helpful to talk more about your vision for the businesses going forward? With that in mind, how do you think about the vision for synergies between Wealth Management and TaxAct over the medium term? And more specifically, how do you think at a high level about the next, next leg of opportunities for collaboration between the two businesses beyond Tax-Smart Investing?
Chris Walters: So I'm really optimistic about the opportunities across the business and we will be very targeted about testing a variety of those opportunities. I'll give some examples of things that can be done. But ultimately, I'll be working with the leadership team, the broader team here over the coming months to prioritize those areas. So the initial vision that we had when we made the acquisition was there was a real opportunity for collaboration. A lot of the focus to-date has been on driving the performance of each of the businesses independently. So they've been a little bit less investment than initially anticipated in realizing value across the businesses. But there are a number of things that have been observed over the years and even in my short time in this role, where I believe we can see real value and drive higher levels of organic growth in both businesses. I'll provide a couple of examples of things that could be done. These are not certain that we'll be testing these paths, but there are a number of areas across the business. So one great example is we have a very large number of Professional Tax or tax professionals that utilize our software product and TaxAct. That number is actually larger than the number of Wealth Advisors that we have on our Wealth Management side of the business. It may be that there is a meaningful opportunity and what we don't have a sense of yet is what portion of those tax professionals that we serve with our software business ultimately would value the wealth, second revenue stream that would come from wealth advisors. And so we'll think hard about how we ultimately can size that opportunity and potentially present it effectively to our pro tax software clients. A second example is every single one of our wealth clients with our wealth advisors would value more end customers. We do have some very sophisticated skills in marketing on the TaxAct side of the business. We acquire a very large number of customers every year. And there's a question about how we can ultimately apply those skills and capabilities to support our Wealth Advisors in the Wealth Management business. And so those are two examples. As I said, I'll be working with a team over the next few months to figure out what are the areas that we run into and test out but there are a number of areas where we can create value across the business.
Will Cuddy: Great, thank you for that. Building on that to HKFS, it still fills a gap in some of the addressable market. When you think about some of these opportunities moving forward to other gaps that it would be necessary to build additional tools to potentially acquire additional tools and capabilities like HKFS in order to fully realize the value from the overlap?
Chris Walters: So we really are excited about HKFS, because we can when we go-to-market and engage additional tax professionals and work with them to provide a second revenue stream. We now have a model that is really a high involvement model or lower involvement model with HKFS in the portfolio. And so our ability to close new advisors that our success rate in business development will increase. As we look across the portfolio, we see multiple areas where we can drive organic growth. And we have a clear strategy in terms of what we want to do. M&A is not the priority driving, organic growth is the priority. That said opportunities may arise that will help us accelerate what we're trying to achieve with targeted M&A, but that's really not the priority right now.
Will Cuddy: Got it. Thank you. Could you also update us on your CFO search?
Chris Walters: Sure. The search is in process, I can't provide a certain date when we will have it resolved but already spending time with candidates and I look forward to actually finalizing a direction. It is my top priority from a team perspective and we're working hard to solve that as quickly as possible.
Will Cuddy: Got it. And last one from me. So the TaxAct expenses came in a little bit lower than suggested by the guidance but there's also investment back into the business for the quarter. Could you talk about what drove the better than expected expenses in TaxAct for the quarter?
Bill Michalek: Hey, Will, this is Bill. We're able to diverse find some cost saving opportunities and defer some costs from Q4 into Q1.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to management for closing remarks.
Chris Walters: Thank you all for joining us today. In closing, I’d just like to say that I'm incredibly excited to have expanded my role with Blucora and have the opportunity to work more closely with our employees as we provide the best products, service, and solutions to our customers and advisors, and enable better outcomes for end-clients. 2019 was a great year for Blucora and I'm looking forward to keeping you updated on our progress. Speak with you next quarter.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may now disconnect.